Operator: Good evening and welcome to the LivePerson Third Quarter 2012 Earnings Call. My name is Chandelle, and I will be facilitating the audio portion of today’s interactive broadcast. All lines have been placed on mute to prevent any background noise. (Operator Instructions) At this time, I would like to turn the call over to Mr. Murphy, CFO. Sir, you may begin.
Daniel Murphy: Thanks very much. Before we begin, I would like to remind listeners that during the conference call, comments that we make regarding LivePerson that are not historical facts are forward-looking statements and are subject to risks and uncertainties that could cause such statements to differ materially from the actual future events or results. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The internal projections and beliefs upon which we base our expectations today may change overtime and we undertake no obligation to inform you if they do. Results we refer today should not be considered as an indication of future performance. Changes in economic, business, competitive, technological, regulatory, and other factors could cause LivePerson’s actual results to differ materially from those expressed or implied by the projections or forward-looking statements made today. For more detailed information about these factors and other risks that may impact our business, please review the reports and documents filed from time-to-time by LivePerson with the Securities and Exchange Commission. Also, please note that on the call today, we will discuss some non-GAAP financial measures in talking about the company’s financial performance. We report our GAAP results, as well as provide a reconciliation of these non-GAAP measures to GAAP financial measures in our earnings release. You can obtain a copy of our earnings release by visiting the Investor Relations’ section of our website. Now, I would like to turn the call over to LivePerson’s Chief Executive Officer, Rob LoCascio.
Rob LoCascio: Thanks Dan, and thanks to everyone for joining us. I am actually speaking from our Tel Aviv office tonight. Our goal from the beginning of the year was to add sales headcount, build pipeline in the first half of 2012 and begin to close that pipeline in order to accelerate bookings and increase our run rate in the back half of 2012 and into 2013. Internally, we use the bookings metric as an important indicator of our long-term growth opportunity. Bookings were strong in Q3 and accelerated to $8.1 million which is our largest bookings quarter in the history of LivePerson. It was a 17% increase over last quarter’s and 56% increase over last year’s third quarter. Furthermore, 17% of our overall bookings number was from new products and we continue to see a healthy demand for our new product offerings. 2013 and long-term strategic plan for LivePerson is unfolding nicely. As we increased capacity and product in sales headcount over the past years trying to generate a solid ROI, we continue to work on bringing our new sales people up to speed and making them fully productive. When I look back over the past year on our sales organization, we increased quarter carrying sales reps 50%, trained the team to move from starting a single multi-product offering, reorganize the enterprise group into verticalized sales structure and added a new global head of sales. In the third quarter, we signed a record number of deals at over 180 which surpassed last quarter’s 136 and added 51 new enterprise mid-market customers; more than twice as many as in the same period last year. We also signed a greater number of new customers with many first time multi-product deployments; 32% of our bookings in Q3 were from new customers, where historically, new customers are usually around 20%. While we are seeing our bookings accelerate delivery of recognized revenue was slower than anticipated. We are seeing longer times for those bookings to convert into recognized revenue because of implementation cycles extending. The delivery of new products are taking more hand-holding than traditionally like we have with our core products as we go through a learning cycle with our customers. We expect to gain an improved efficiency in new and multi-product deployments as we gain more experience overtime. Our customers are investing a lot of time and money into driving traffic to the digital properties and we need the tools to convert that traffic into meaningful connections. With our Live Engage platform, customers will be able to engage the full spectrum of visitors on their site, across the funnel, all the way from large numbers being needed for self service treatment to very personalized and rich engagements to video and voice. In terms of the progress, we have build out a platform structure and have over a 1,000 small businesses now on our live Engage Platform. During the quarter, we continued to strengthen our core products and offerings, we made substantial progress with the integration of our enhanced predictive targeting capabilities, rolling out rolling out a fortified turnkey mobile solutions advancing our overall platform strategy. We announced the acquisition of Amadesa last quarter and are completing the integration of this technology into Live Engage platform. The addition of this technology should improve our ability to predict visitor behavior and provide results that optimize ROI based on channel and content selection. The algorithm used to scourge visitor require much less data for loading, so the predictive targeting capabilities can be used and leveraged across a majority of our customer base and across all of our new product offerings. With the acquisition of Look.io, we now have a turnkey mobile solution that provides a clean overlay onto our mobile app and dot sites. We're working with about two dozen customers on implementing their mobile engagement strategy, many of which are reporting 25% to 30% additional engagements each month. Something that’s been really appealing to our retail customers has been the Geolocation system built directly into agent console. The agent can actually see the customers’ location system to find nearest retail store through their mobile device. We also have the ability to do language translation on the fly, and the mobile technology we are employing has a detection system automatically translates to the proper language based on what the customer’s device is asking for. We are also continuing to see good traction on the new products and seeing a growing number of interest use cases. One of our early adopters of LP Marketer, major online supply and equipments retailer, has been driving value by using LP Marketer to effectively gain more qualitative data on a customer base. When they initially launched a customer survey, initiated by email, direct mail and social media tools response rates were really low. So they deployed LP Marketer with a real time survey request on site and due to the personalized delivery of the survey they know it’s a seven-fold increase in survey response than more traditional online survey management. In a more traditional use case of Marketer, the company also deployed a highly targeted free shipping campaign and within just two weeks the campaign influenced about $14 million in sales and increased conversion rates by 48%. With our LP Insights product, we are seeing some strong examples of how to understanding the voice of the customer to take a measurable impact on overall customer satisfaction. One of our longtime chat are leading photo sharing website with over 95 million members has been leveraging the Insights product we provided from a chat to improve key facets and paint for on their sites, such as streamlining their refund process, pushing back their login requirements and optimizing their photo uploader. As a result, they were able to actually phone support hours and increase overall chat agent productivity. And since deploying both LP chat and Insights their customer satisfaction scores have risen by more than 80%. Today, we also announced the planned acquisition of our Australian partner Engage, which gives us a greater exposure to the fast growing APAC market. We will be gaining some talented resources surrounding selling and supporting the hosted voice, live chat, SMS and social media solutions. Engage team has over 20 years of experience in both digital and mainstream voice contact channel across the Asia Pacific region and their experience and foothold in a region bring us tremendous value as we seek to bring our solutions to a greater number of APAC customers. Now I would like to touch based on four strategic goals that we set out for the year. As you know our first goal is plus one which is to have all of our customers use more than one product, which will allow to scale our business to the next level and create more value from the data we gather on customer’s websites. The sales pipeline and used cases we are seeing from the customers are evident that this goal is progressing well. And as at the end of the third quarter we had approximately 600 customers using more than one LivePerson product which compares to 550 last quarter and 275 at the end of 2011. Our second goal is to find new ways to accelerate the growth of our core chat product; with consumers increasingly turning to different digital touch points, companies must redefined strategies of how to engage in the across multiple channels. With our platform strategy moving forward which includes new predictive targeting capabilities and our connection framework of video voice and chat, our customers will be able to create highly targeted interactive campaigns across multiple channels and result more meaningful interactions with their customers. The third goal is to improve and scale the data intelligence players on our platform and we are driving towards our vision of delivering a complete platform for real time data intelligence and made great progress over the past quarter with the help of the acquisition of Amadesa we’ve really been able to accelerate building out this data intelligence pieces to our platform. And the fourth goal is continue building the systems that will help us to deliver on our core values of [gaining order] and help others and a mission of creating meaningful connections in the world. We've grown a lot in terms of headcount over the past year and we are working hard to maintain to scale our culture, as it enables us to innovate, collaborate and succeed. Connecting with our community and helping others ideally firmly rooted in our core values, and this year will mark our 11th year of hosting feeding NYC, where LivePerson employees and volunteers throughout the city get together to pack thanksgiving meals and personally delivered it in the homeless shelters in New York City. We started this program 11 years ago after 9/11 and we thought that was deeply needed and I think in the wake of what we are seeing with recent hurricane, we’ll continue and expand this, this year. So if you are in the area I encourage you to join us and help on November 20 and connect with our local community. You can check out, we will be packing and delivering at feedingnyc.org. So just to wrap up, each quarter we are moving closer towards a longer term vision of delivering a complete platform for intelligent engagement and we are forging ahead and working towards keeping pace with growth continuing to fine tune our go-to-market strategy and scaling product sales to our 8500 strong customer base. So with that I would now like to turn the call over to do a review of the numbers. Dan?
Dan Murphy: Thanks Rob. I think it’s important to reiterate what Rob mentioned earlier. We continue to make progress. We’ve implemented a lot of changes to the organization over the past 12 months. We added a significant number of sales head, we began selling multi product solutions and we are continuing to expand internationally, we've completed three acquisitions and rolled out version 1.0 of the LiveEngage platform to our S&B customers. In addition, we have made progress expanding our reach within our basic core customers and also (inaudible). As Rob mentioned, we signed a 184 deals in the quarter versus 136 in Q2 2012. Of the 184 deals 54 of them were for new enterprise and mid market customers, representing 32% of the bookings dollar value in the quarter. Many of the deals came in towards the latter part of the quarter, so we did not see that back into the top line during Q3. Based on our current times with bookings to revenues in addition to our customers locking down their site for the Q4 selling season we do not expect the backlog to be fully recognized in Q4. Now I would like to take some time to review the financial metrics in greater detail. During the third quarter B2B revenue was $36.1 million, a 17% increase as compared to the third quarter of 2011. Revenue from consumer operations for the third quarter was $3.6 million, which is relatively flat compared to the third quarter of 2011 and down 10% compared to the second quarter of 2012. Total revenue was $39.7 million, an overall 16% increase as compared to the prior year. Year-to-date revenue for the B2B segment was $130.5 million, a 21% increase over the same period last year. Year-to-date revenue for the consumer segment was $11.4 million, an increase of 4% over the same period last year. Total revenue year-to-date was $114.9 million, an increase of 19% over the same period last year. As discussed on last quarter’s call, we incurred expenses related to the deals, litigation and international expansion that will continue to impact the remainder of our 2012 financial results. Since the first half of 2012 we incurred approximately $3 million in deals, litigation and international expansions. In the third quarter, we incurred approximately $700,000 of deals, litigation and international expansion costs bringing the year-to-date total to approximately $3.7 million. As a reminder, the reported results of operations include effects of deals, litigation and international expansion expenses in the income statement for the three and nine months period reported. Net income for the quarter of 2012 was $0.03 per share, which was at the high end of our Q3 guidance range and compared to net income of $0.05 per share in the third quarter of 2011. Adjusted net income for the third quarter of 2012 was $0.08 per share, which was up the mid-point of our Q3 guidance range and compared to adjusted net income of $0.09 per share in the third quarter of 2011. Adjusted EBITDA for the third quarter of 2012 was $0.13 which was at the high end of our Q3 2012 guidance range, when compared to adjusted EBITDA of $0.16 per share in the third quarter of 2011. Bookings continue to trend higher, reaching 8.1 million in the third quarter, which is 17% greater than Q2 of 2012 and 56% higher than Q3 of 2011. As Rob mentioned, new products represented 17% of bookings during the quarter as a percentage in line with previous quarter on an absolute dollar basis, an increase from Q2 of 2012. As of the end of the quarter, we had approximately 54 customers using LP Marketer, about 13 customers using LP Insights, approximately 340 customers using ADE and Keyword Optimizer and more than 250 customers using our APIs. In total, as Rob mentioned, we had approximately 600 customers using more than one LivePerson product. We signed 184 deals in the quarter compared to 136 deals in the second quarter. During the quarter, we added four new enterprise and new market customers, including Tupperware, Smith & Wesson and Seamless. We also continue to deepen and expand our relationships with existing customers including Virgin Atlantic, PR Newswire and ForEx Capital Markets. Our small business gross revenue was flat in the third quarter when compared with the second quarter of 2012, and grew 13% over the prior year period. As Rob mentioned earlier, we currently having about 1,000 small business customers using the beta version of our Live Engage platform. Average deal size for all deals was 44,000. The average deal size for new customers was 51,000; the average for existing customers signing up for an upsell or expand the business was 41,000. Average sales to customer service channels were approximately 23,000, sales of our proactive sales product were 54,000. The breakdown of enterprise to mid market bookings and revenue terms is approximately 58% for existing customer expansion and approximately 32% to brand new customers. In the past new deals have usually accounted for approximately 20% of our deal volume. As Rob discussed, we have invested heavily in the sales organization while we have sequentially increased bookings in 2012, we still have work to do to make all our reps fully productive. The breakdown between sales and customer service revenue is approximately 83% rated to sale (inaudible) and 17% towards customer service. Customer attrition for enterprise and mid market account averaged 1.2% in the third quarter, which is in line with the second quarter. Small business attrition rates averaged 2.6% which is consistent with the second quarter of 2012. [Operating] performance generated approximately 15% of total enterprise revenue and 9% of total revenue. Revenue coming from outside of the US was approximately 26% of total revenue, with UK representing our largest concentration outside of the US. In Europe we continue to develop relationships in the region with existing customers signing expansions with Deutsche Telekom and (inaudible) Spain. The revenue breakdown by industry verticals was consistent with prior quarters, Telecommunications made up approximately 35%, financial services 22%, technology 13%, retail approximately 11% and other at 19% for the quarter. In terms of the scope of our customers at the end of Q3 2012, we have 30 customers above 500,000 on annualized spend up from 38 at the end of Q3, 2011. In addition we have 12 customers spending more than $2 million on annualized spend at the end of Q3, 2012 up from four at the end of Q3, 2011. Third quarter gross margins came in as anticipated with 77% which compares the 76% in the third quarter of 2011 and 78% in the second quarter of 2012. This [quarter] continues to trend well with US dollar, which has driven foreign currency benefit the most 2012. We also began to amortize new tangibles from [look] at year acquisitions to a cost of goods sold. And anticipate the amortization [attempts] from Amadesa acquisition to being in the first quarter of 2013. We ended the quarter with the cash balance of approximately $103 million as compared to a $101 million at the end of the second quarter. We have $3.9 million of capital expenditure in the third quarter, as we prepare for the high season, and $6.9 million of capital expenditures year-to-date. Third quarter accounts receivable were $22.8 million, our DSO [network] from the third quarter 2012 was 53 days up from the second quarter is 46 days. As discussed in prior calls, we are comfortable with DSO in the range of 50 to 55 days. Our tax credit for the first nine months is 40% and we expect the full year accounts to be approximately 39%. Now I would like to discuss the financial expectations for the fourth quarter of 2012, which continues to include cost associated with deals, litigation, and international expansion as well as [deal] amortization and operating expenses related to the acquisitions that were completed in the first half of 2012. We expect revenue between $41.5 million to $42 million, adjusted EBITDA between $0.12 and $0.14 per share, adjusted net income between $0.07 and $0.09 per share and GAAP EPS of $0.02 to $0.04 per share. Our fully diluted share count of approximately 58.3 million shares. The full year guidance is also reflecting the litigation related expenses as well as international expansion. The expectations are revenue of $156.5 million to $157 million, adjusted EBITDA of $0.51 to $0.54 per share, adjusted net income per share of $0.30 to $0.33, GAAP EPS of $0.10 to $0.13 and a fully diluted share count of approximately 57.5 million shares. Our full year 2012 assumption also accounted before mentioned costs and expenses include amortization of intangibles of approximately $600,000, stock compensation expense of approximately $10.7 million, depreciation of approximately $7.8 million, effective tax rate of approximately 39%, cash tax rate of approximately 37%, annual capital expenses of approximately $10.4 million, costs associated with the acquisition, litigation, and international expansion of approximately $5 million and operating expenses of $1.5 million from the Amadesa and Look.io acquisitions. We [currently] expect gross margin on GAAP basis to remain more consistent with last year’s levels at about 76% to 77% for the year. But it is sensitive to foreign currency fluctuations. Furthermore, as a percent of revenue for the year, we anticipate sales and marketing to be approximately 32%, G&A of approximately 20% and R&D approximately 19%. This covers all the operational and revenue highlights. I would like to remind the listeners and people asking questions that Rob and I are at different locations. So if there's some choppiness to our responses it is most likely due to (inaudible) locations. The operator could rejoin the call, we would be happy to take any questions from folks participating. Operator?
Operator: (Operator Instructions) Your first question comes from Nathan Schneiderman with Roth Capital Partners.
Shawn Yuan - Roth Capital Partners: This is actually Shawn Yuan sitting for Nate. Let me start off by asking can you provide some high level broad comments on how we should think about 2013 in terms of revenue and operating margin. Do you think is it still going to be a year of investment or are you expecting some level of margin expansion or if that is operating margin?
Dan Murphy: So, we haven't given guidance on 2013. We will provide guidance for 2013 on the Q4 call.
Shawn Yuan - Roth Capital Partners: How should we think about the Pay-for-Performance business in Q4, I mean to what extent are you expecting usual holiday shopping related traffic search?
Dan Murphy: From a PFP perspective, we are comfortable with where the business is at 9% of total revenue and roughly 15% to 16% of our amortized revenue. So we are comfortable with where it is today and we expect it to be in that 9% of overall revenue.
Shawn Yuan - Roth Capital Partners: And also can you discuss the sales force hiring plan for Q4, how many reps are you planning to end the year with and how many do you plan to hire next year? I mean also if possible can you discuss mid market reps versus enterprise reps separately?
Dan Murphy: We don't break up the mid market and enterprise reps, but in total as we discussed back on the first quarter call, our plan was to have hire 50 quota carrying reps by the end of the year. Today, we are up to 48 and our expectation is still to be in the neighborhood 50 quota carrying reps by the end of 2012.
Operator: Your next question comes from Richard Fetyko with Janney Capital.
Richard Fetyko - Janney Capital: First of all, in the topic of elongation of implementation period that you've experienced, could you give us some idea, perhaps, how many days, weeks or months, was it to difficult deal taking previously and taking now? And secondly, can you give us a little more color on the you engage acquisition, will there be impact in the fourth quarter or should we expect the impact from the 2013 numbers, profitable business, will there be some dilution into earnings as well?
Rob LoCascio: On the first part of the question, normal, when we look at the quarter business, we can implement around 60, 90 days as we go fairly quick (inaudible) a lot of process around it. Now that we have, we took this pipeline up and we had very good bookings and now we got delivery. We're seeing lot of hand holding with our customers which is extending out the four months or so, it's not a little longer because there is number of different used cases. They wanted to implement in different areas. They are doing LP Marketer in one area and chat in another area but to do insights, we got to bring in all the chat [transcription] stuff. So there is a little bit of learning curve that we're going through now that we got the deals going and so we have extended our fee deployment rule that which is affected the recognized revenue piece of it. The goal here is to have all these products on the live engage platform. Today, they are all separate, which is also creating a little friction but really the goal is do that, we got about 1,000 customers, small businesses who are starting on live engage. So it’s kind of you don’t want our customers to just be on their own right now and just dump a product on their lap and say good luck, so we are spending more time than normal on gain of used cases like we are seeing with Home Depot and Petco and some of these companies who are at Aspire.
Richard Fetyko - Janney Capital: Makes sense and actually while we are on that topic, do you feel like you need to step up a little more in the professional services area to keep up with the demand I guess?
Rob LoCascio: Yeah I mean there is probably a little bit, but what we are really focused on is getting the platform out and getting it to be much more frictionless to go live but we are going to shift some resources within the company to help with these implementations, but once again our goal is to make sure that we don’t get someone up on LP Marketer and then they leave us because they can’t find a used case and we found as we said before, some used cases we never thought about like filling out a form or liking someone on the Facebook page and so we want to get those learnings, so we are taking our time. Bookings are strong and futures looks very great we just got to take our time with it, but I expect things to kind of move quicker in the next quarter or so as we understand how to do these implementations as we get more of a process behind them.
Richard Fetyko - Janney Capital: And on the ENGAGE acquisition, Dan perhaps you have some insight on the impact?
Dan Murphy: Sure, so we are just announcing we have not closed the deal yet, we have the signed the deal. We expect to close in the fourth quarter, sometime in the fourth quarter, considering there is only about a month and half to two months left. The impact will be minimal in the 2012. The company at this point is profitable. So we don’t expect it to be diluted but the revenue stream is not large.
Operator: Your next question comes from Mark Schappel with Benchmark Capital.
Mark Schappel - Benchmark Capital: Switching gears a little bit here, Robert, just wanted if you could just give us a little bit an update on the at the Apple rollout where are you…
Rob LoCascio: Yeah. We are in the middle of getting this, because this is the rollout where we do chat, video, voice and screen sharing and so we have already deployed in I think two to three countries and we are continuing, we are going to have a US deployment shortly. So that continues to rollout and then we got other customers and handful customers that are lined up to get the connect platform beyond that. So far so good, we like to [receive] and we like the demand that we are seeing with some of our larger enterprise customers. Let's get all these technologies collapses down onto the live engaged platforms, so it will be much easier for our customers to decide, let me give this person content and to get the person video, let me give this person of voice call or chat. So the connect framework is going down into live engage as we speak also.
Mark Schappel - Benchmark Capital: Okay, and thank you and with respect to the difficulties you are seeing on the revenue front, is there anything geographic based with respect to that I mean are you seeing a little more difficulty overseas, I know you are trying to expand aggressively overseas I was wondering if you are seeing some more trouble over than your domestic?
Dan Murphy: No, I don't think we are seeing trouble, I think we are seeing pockets of weakness in Europe but I don't think we are seeing wholesale trouble at this point. We had strong booking coming out of Europe just like we did in the US and we’re continuing to build up our base in Asia Pacific and the acquisition should afford us a good spot to continue to grow in the Asia Pacific region. But Europe like I said we've had pockets of weakness but no wholesale or not purchasing or not bookings.
Operator: Your next question comes from Mike Latimore with Northland Capital.
Mike Latimore - Northland Capital : Yeah I guess just back on the elongation of implementation, you talked about I think 32% of your bookings are coming from new products. Is it primarily those that 32% were the elongations occurring or are you also seeing longer timeframes for the kind of the non new product bookings?
Rob LoCascio: No its, because we got the 32% is new customers so the new customers are taking obviously longer and then the existing customers we’re getting used cases, but the new customers do take longer now because when we are going to a customer we deal a whole, we get this whole business boxes engagement, we do where we map user engagement on their site we decide where chats going to be, where voice is going to be, where content is going to be and then we look at different use cases, but the new ones take longer because we now, you know we are doing tagging so we add that which we normally do and then we got to put the multi product in there, so they are taking longer and we have more of them now which is a great sign. So its just I think our focus as we've decided you know we could just push these things through, if we don't take our time with them I think we are more focused on recurring revenue element, we make the booking if it goes to attrition in the future we've wasted that sale. So we are very focused now to make sure we get it right, we hand-hold our customers and we get them over the line. But the combinations are much more bigger unit base plus multi product can cause a little bit of hang up in the implementations.
Mike Latimore - Northland Capital : And then what about, I think you kind of said, you know upgrade current customers and you tag in the sites they can handle or engage next year do you think that would lead to any kind of longer implication on the current customer or is it not a material change?
Rob LoCascio: We are hoping it won't. They don't have to have it a 100%. That gives them an enhanced way to collect data. We want our customers to have that, but its not a necessary thing with the people who are going on Engage now, some have new tags, some build LP Marketer customers are using old tags so it is, you know its easy tagging structure. We like the new tagging structure because it allows us to collect data in a different format, allows to create a more structured way of capturing data internally, but that's not a necessary requirement.
Mike Latimore - Northland Capital : And then lastly on PFP, I don't think that's affected by these implementation timeframe, so shouldn't that grow as a percent kind of in the next couple of quarters?
Rob LoCascio: Yeah I mean we would like to….. go ahead.
Dan Murphy: Yeah I mean from a PFP perspective, its growing a little bit less than at the rate of the overall business; we are comfortable with where it is, we are comfortable with the growth in the business and as far as being 9% of the overall business, we already stated that it should be between 9% and 10% of the overall business.
Rob LoCascio: But actually, look we believe it should grow at greater rate I think there's a focus on it right now. I wouldn’t say we are a 100% happy with it. I think there's a lot more we can do with it. We are actually taking the guys from Amadesa and running different levels of predictive model on it and so we've got that. We are looking at our labeled partners, so and I'm not 100% happy with where we are, instead I think there's a lot of room to grow there and we are also doing, we’re starting to do performance based with LP Marketer. So we are also seeing performance base there and I think there's really opportunity for our company to build more performance based programs. So we have a focus now; I would like to see it sort of get to the next level.
Operator: Your next question comes from Craig Nankervis with First Analysis.
Craig Nankervis - First Analysis: On the push out, on the elongation of the implementation, can you Rob, maybe discuss a little, why you didn’t this in Q2 and what happened between Q2 and Q3 that now all of a sudden is an issue and might not have been previously that would maybe a good place to start?
Rob LoCascio: You know, it's sort of a stack up. We started Q1 with the big bookings, Q2 comes and it's only six months. And they start to roll. When we think about we sign a deal, by the time it goes live, it's four months. So we're waiting. We're thinking, okay, this is going to happen in a certain timeframe. Does it look like how it normally does? So that already puts into the second quarter and then we started to see that slow down, second quarter, they come into the third quarter and now we have that data. Then we're looking out and saying, what's going on and we talk to implementation managers and yes, and we see how our customers are using our products, it’s just like, look, these are new products. We got to take our time with it. We got good use cases. We got some enterprise customers who are using this in many different places. So it's tying up more labor than more normal than we do with chat. Normally, we implement, we move them on from implementation to a PS engagement to almost to self service, but here we got to stay with them more before we let them go to PS and then self service. So a little bit, it's by design right now and our greatest focus is our people buy new products and are staying with the new products or they are leaving and so they are staying and the reason they stay because we are working with them and building their use cases, so it takes that time between the first sale, let’s say in January or the four months like okay we are off here and then we can see it happening more into Q2 and now in Q3. So we have the data we want to share it and then we can project into Q4 now and look into the future a little bit.
Craig Nankervis - First Analysis: Thanks for that. How do we think about the extra costs associated with that; can you just help us about how that’s being absorbed or how that’s incurred?
Rob LoCascio: Well, if you see, one of the things you will see in the revenue in the detail is PS revenue has picked up and so we are covering a base level of that cost with charging for it and so some of it we get for free, we were implementing and some of it extended and we are sharing that burden, the customer sharing that burden with us. So PS revenues is kicked up a fair amount and that’s really an indication of PS being more in the implementation cycle than longer. Once again, the strategy was, we had multiple products owned by different product owners, we want to free them, so they could go out freely into the market, get their used cases, drive it through sales which is some great successes with the bookings and then we were moving to as all those products will shift back into the Live Engage platform where there is one single sign on, there is one way in which you segment a customer and then you can pick your multiple engagement channel. So you get a 1,000 small businesses on that already and that’s going to start to roll out through 2013 and that should start to reduce the friction, so there won’t be always different products in the market, different trainings and things like that.
Craig Nankervis - First Analysis: Okay, so that was sort of my next question is, what happens exactly in your mind that solves this issue that’s come up, and I guess you are saying in part, its getting back to the Live Engage platform is that sort of the key here to ironing this out or there are other things?
Rob LoCascio: No, that’s always been the strategy, that's why Live Engage is out there. We knew that you don't want a support four or five products in the market, like separate products, separate log ins. You want to have that clasping downs. So the strategy for me to getting was Live Engage and when we started with LP market or LP Insights, ADE and Keyword Lift and those are collapsing down into the platform and the platform already embedded that was about a 1000 small business customers. So the strategy, we were now 2% off on our overall goal for the year and revenue, we would like to hit that and beat those numbers but we also have to be very careful right now of not to jam these paths down our customer throats (inaudible) and we are going to loose our Home Depot or (inaudible) whatever because we are not holding the hand and so its very important, we do that. But we got a lot of earnings now, if you can see we have a good base of customers; we are going to start taking those learnings into the product, into the Engage platform and move forward and so we are focused on it.
Craig Nankervis - First Analysis: Thanks for all that. Just lastly real quick; any comments on what is going on the consumer side? You had a couple nice quarters for consumer in the first half of the year and now it’s a bit lighter. Anything to say on what is happening there?
Rob LoCascio : Q3 is a little wide, yeah, students that are gone for the summer season, there is holidays for the consumer business. So there is a little seasonality through Q3, Q4 usually picks up because we got education and tutoring category back. So I expect it to come back a little bit in Q4. So we've very focused on the cash aspects of that business, but I think going into 2013 we want to grow it at a different rate than we are because it’s a good business, its good business.
Operator: Your next question comes from Jeff Van Rhee with Craig-Hallum.
Jeff Van Rhee - Craig-Hallum: Couple of questions here. First of all in terms of the time to go live can you give anymore through points or little more detail behind your conviction or confidence in the four month window. What gives you confidence that it stays at four, it doesn't end up at five or six next time we talk, just fill in the gap there a little bit if you would.
Rob LoCascio: We got now enough customers under our belt, we can see some of the extra work they want us to do. So I think we feel good about it, but I've got to tell you the focus is success and making sure they don't leave us. And so if you expect about another month and we had to do that, we would do that but today we have enough customers now because we've now got about 2.5 quarters word of sales as I mentioned and starting the implementation. But I feel like we've got a good base line and now we are also attacking some of the issues. So some of the things we see we can productize, some of the things we can do also create processes around them that can be repeatable. But a lot of the last couple of months has been one-offs around how do we implement in sites and how do we implement market. So I feel like we have a good sense of what the challenges are and you can see going into Q4 the (inaudible) between the platform coming out and our understanding what some of the challenges are, but if (inaudible) customers are staying with it and they are growing and the bookings number and they are buying new ones because the new customers talk to the existing customers who are using good [progress] and say how is it going. And we've got to make sure we have that referenceable base right now.
Jeff Van Rhee - Craig-Hallum: So you can productize it obviously that would streamline it, improving across these and other items and vision that they ultimately leads you to the point where you have to reconsider or reevaluate steps and levels particularly on the professional services side.
Rob LoCascio: I just want to make sure that we have a product focused organization here, and so the product has to be frictionless. And the way we are moving with Live Engage is our customer can get up to use it on their own. We would have professional services come in where we think there's added value and not doing the more collateralized implementation stuff that they have to do today rule building, we are doing a lot of rule building today. You know building rules for the LP Marketing campaign are different rules than the LP Chats so we are spending a lot of time building rules. And so there are things that we can do to automate that AD, automate some of that and it takes Google analytics and use of the base data to build automatic rules. So ultimately we want to productize the stuff and we want this to be a very frictionless platform. It has to be. That was the vision and absolutely we are delivering.
Jeff Van Rhee - Craig-Hallum: And then last one just on the bookings, obviously overall very good bookings number, new products really good bookings number, the offset of the legacy product. Can you just talk about the demand environment and the bookings environment for legacy, whether or not you are satisfied there, whether you are concerned there and any changes you might be making?
Rob LoCascio: Look, it's interesting. We're talking about this internally. There will be a day where there is, we call it the core. We still call it the core which is (inaudible) and ultimately there is a day where the core is the platform and so we're very focused on. The strategy is engagement with consumers. We are up to about 20 million interactions of Chat in Q3 and that was up from 15 million that we gave a year and now we got LP Marketer interactions happening. So we're all about, how do we get new platform out. So we're not as focused on as it just the core being Chat. We have the transition, the mindset of the core is platform. With that said, Chats got a lot to go. We're already at 10% penetration of all the Contact center seats. We got the connect framework where we are doing and video and voice stuff we're doing with Apple. So a lot of exciting things in that product. So it's really part of the overall strategy.
Jeff Van Rhee - Craig-Hallum: How quickly do you expect that sort of migrational way from legacy being a material part of the bookings? For (inaudible) talking in a couple of years of how roughly, how do you think about that, supposed between what we are now calling sort of legacy or core and new products?
Rob LoCascio: I don't know the percentage really. If we didn’t talk about in the future, which is like, I think the question is like how many consumers did you guys engage on your platform in the month or in the quarter? I guess we're doing about 20 million Chats right now a month on the platform up from 15 beginning of the year. But we're talking about overall engagements. We were excited. We have a 100 million engagements out of 1.6 billion visitors a month. That’s a lot of visitor. So in the future we would like to talk about it like that. So I think it be more like a 50-50 split, it’s going to be very blended the conversations.
Operator: Your next question comes from Shyam Patil with Raymond James.
Shyam Patil - Raymond James: (Inaudible) and this is not necessarily trying to get a 2013 guidance or any things like that, but when you look at the top line on a blended basis the new product and the core Chat product do you still view the business as a 20% to 25% top line grower overtime?
Rob LoCascio: Yeah, we think that’s a good rate, than we set out actually want to do better than that. So that’s the goal. We only touch about 2% of the traffic that we monitor and chat with always new products we got 98% of the other traffic we don’t touch to go after with the non-chat stuff and voice and video. So yeah the goal is to do that, and there is a lot of excitement in the base the customers. The interesting thing I am finding fascinating right now and actually it is (inaudible) in Europe last couple of weeks customers are really finding it challenging to get more traffic to the website and the thing I was talking about a lot of the customers are 50% of the pay traffic that they buy bounces off the first page and so when we meet with them they are like look we have run out of ways in which to try traffic in an efficient way in a cost effective way. We want to focus on outside engagement, and so having the chat and non-chat, video and voice and the Keyword Lift and these products gives us a way to go into the market and say we can help you. So the way that marketing might be shifting, it’s shifting towards us and we have been building these products and we are here with them, and so I think we have a really good position to take advantage where things are moving.
Shyam Patil - Raymond James: Great. And then on the sales force structure, how do you feel about the current structure? Is it where you want it to be or do you anticipate some changes next year?
Dan Murphy: We set out from the beginning of the year saying that this is an investment year; we are going to put additional speed on the street and expand our coverage from the sales perspective. And so we’ve hired quite a few people, we have increased the sales force by quota carrying guys by about 50%, the goal is to get them up to speed and as productive as we possibly can, and while we had a strong bookings quarter, we need to continue to make sure our field team is productive and the support to organization is around them and making them as productive as they possibly can be. So I think we still have some work to do. Erica is our head of sales, who joined us back in the second quarter, she is understanding the organization, getting good feel of our customers and moving with customers and we’ll continue to make progress and changes as we move into 2013.
Shyam Patil - Raymond James: Okay, great. And last one is the, on the litigation and legal cost, can you maybe talk about where we are with that and current expectations is going forward?
Dan Murphy: Yeah, so the bucket we have talked about was the bucket of deal, litigation and international expansion. So year-to-date, we spent about $3.7 million of that $5 million that we talked about at the end of the Q2 call. We are still actively involve the patent frauds and [leaving] out our managed part of the business, you will have patent frauds come up starting engaging in potential litigation but we will continue to progress with litigation and we think we will continue to pursue all avenues from a legal perspective that we can against these patent frauds.
Operator: Your next question comes from Brian Murphy with Sidoti & Company.
Brian Murphy - Sidoti & Company: Rob, you may have touched on this but given the long implementation periods, can you give us a sense for what kind of impact if any that might have on near-term bookings, I mean could we see bookings pick up here in Q4 particularly ahead of the platform release?
Rob LoCascio: I think we feel, we got nice run rate happening on the booking side. So you got to really separate bookings from those implementations and so the sales guys are going out now. They are armed with case studies, they have got, you can reference some more customers with new products, they have got the connection framework, they have got the platform. So they have got a lot in their bag to sell. So we've seen an increase and we had a big step up obviously in Q3. So we feel good about what we are seeing in bookings and new sales. It’s a little disconnected from that implementation cycles once they are handed off the PS.
Brian Murphy - Sidoti & Company: So from a customer standpoint the longer implementation cycles are not an impediment to doing business?
Rob LoCascio: No, I mean the only thing that it will push things back is that we start to up sell obviously and normally there's a certain amount of up-selling happening in that base once we get them build outside of chat that is. In chat, we have a process to deliver and then up-sell and moving along but in new products it would push, it could push back up-sells a little bit but a lot of these bookings are obviously new customers and so I think we feel good about the bookings and where we are going with it right now.
Operator: Your next question comes from Jon Hickman with Ladenburg Thalmann.
Jon Hickman - Ladenburg Thalmann: Just one more question about the implementation, I'm not trying to (inaudible) an amount but do you think its since the fourth quarter people, your customers don't like to do much because there in the holiday selling season but so do you think it’s the first quarter of next year by the times its kind of normalizes?
Rob LoCascio: Yeah I think that's why we also look at Q4, we know there's lockdowns on the site, there's some stuff there we can, we know where our customers are right now, we are obviously in Q4 and then that's releases itself going into the first half of the year. So we are being cautious and we kind of see where those implementations are happening. So there is especially with large enterprises small business, non-retail sites you wouldn't see that as much but in the core big companies you are going to see that in retail.
Jon Hickman - Ladenburg Thalmann: And can you talk about, you talked about your sales force, they are still, you are still kind of getting them to where you want them to be because many of them are new. So if they are successful as you want them to be, aren't you kind of creating a little bit of a, I mean its good problem to have but your implementation cycle might stay prolonged if your sales guys are...
Rob LoCascio: Look its you know its something that we know like if you look back in 2005 when we first created proactive chat you are going to see the same thing, it’s a new product, we took it at the market, learned how to deal, we had to build the rules, people are tagging their website which was different and we go through it and then it just became a process and obviously we talked about a lot on this call. You can imagine the conversations we're having internally on this about how should we speed this up? So there are certain things that we know we can now put into a process to replicate certain things we want to bake into the platform and certain things we are saying, we got to keep touching them because we are getting good results. We're seeing the used cases so stay on it or we got to try building different rules that and things like that with the engagement, with the intelligence. So we're playing around a little bit. So we're on it, we're focused. We're talking about it here. So you can imagine we're talking about it internally. So as long as we have that focus, we can move it along.
Jon Hickman - Ladenburg Thalmann: Okay, and Dan, could I get just ask you to repeat a couple of numbers for me? How many customers did you say you have about 2 million? Is it 12?
Dan Murphy: Yes.
Jon Hickman - Ladenburg Thalmann: And 30, how many above 500,000?
Dan Murphy: 38, in total about 500,000.
Jon Hickman - Ladenburg Thalmann: Okay.
Dan Murphy: And the 12 spending more than $2 million. Those 12 are inclusive of that 38.
Jon Hickman - Ladenburg Thalmann: Yeah, okay, and then, could you repeat the percentages, your year end percentages of revenue for sales and marketing, G&A and R&D?
Dan Murphy: Sure, hold on to a second.
Jon Hickman - Ladenburg Thalmann: Fast as you were with them.
Dan Murphy: Sales and marketing 32%, G&A 20%, R&D, 19%.
Operator: There are no more questions at this time.
Rob LoCascio: Look forward to seeing you guys in the next quarter, (inaudible) from Israel but and hopefully you will come out to our [CDMIC] event as a lot of people who are in need now in New York City and it would be great if we could all get out we are going to feed 3,000 or 4,000 families on the 20, and if you want to come out and help go to cdmic.org and if not I will see you in Q1. Thanks.
Operator: Thank you for participating in today’s conference call. You may now disconnect.